Operator: Welcome to the Independent Bank Corp. Second Quarter 2017 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. This call may contain forward-looking statements with respect to the financial condition, results of operations and business of Independent Bank Corp. Actual results may be different. Factors that may cause actual results to differ include those identified in our annual report on Form 10-K and our earnings press release. Independent Bank Corp. cautions you against unduly relying upon any forward-looking statements and disclaims any intent to update publicly any forward-looking statements, whether in response to new information, future events or otherwise. I would now like to turn the conference over to Christopher Oddleifson, CFO. Please go ahead.
Christopher Oddleifson: Thank you, Brendan. Our CFO, Rob Cozzone, is with us today and he will be speaking with us later. Good morning. We continued our long term record of consistent financial performance with our solid quarter in Q2. Inclusive of M&A expenses, EPS on a GAAP basis came in at $0.75 per diluted share in second quarter. Excluding these costs, net income rose to $22.4 million or $0.82 per diluted share which is comfortably ahead of both prior quarter and prior year results. Rob will provide added color on our results following my comments. The strength of our underlying fundamentals was again on full display this quarter. Overall consumer and business household growth remained strong. Organic growth in our commercial loan portfolio was sustained, as we continue to maintain healthy pipelines and actively participate in deal flow activity. Small business lending has been strong for us, with balances up 19% in the past year. On the consumer side, both our home equity and residential portfolios continued their upward ascent as customers responded to our attractive offerings. Core deposits have more than kept pace with our loan growth and have now reached 91% of total deposits. Our investment management business continues to be real bellwether for us with strong revenue growth in Q2 and assets managed under administration climbing to $3.2 billion. Astute balance sheet management by a treasured group is really paying off, as demonstrated by a rising net interest margin. Credit quality remains in good shape, as we have not wavered from our disciplined underwriting practices. Tightly -- we're tightly managing our expenses and that has a result in a further improvement of our operating efficiency ratio. And capital levels continue to grow nicely. Tangible book value per share continues at steady -- to steadily rise even while absorbing the goodwill from various acquisitions. While we're certainly encouraged by our financial performance, we're by no means sitting still on our [indiscernible] various funds to sustain our disciplined growth. In May, we closed on our acquisition of Island Bancorp, parent of Edgartown National Bank. This provides us with our first retail presence on Martha's Vineyard and is an excellent complement to our extensive Cape Cod footprint. To say that the integration has gone smoothly is an understatement. We have really hit the ground running there and initial customer responses exceeded all expectations. And timing couldn't be better, as the summer vacation season is in full swing and our 4 locations there are seeing robust activity. We've also enjoined by local lenders and investment management professionals with in-depth knowledge of this market. On a broader basis, we continue to track experienced talent to our ranks. Our Rockland Trust brand is resonating not just with customers, but with banking professionals as well. On last quarter's conference call, our bank President, Gerry Nadeau, spoke of our excellent -- our excitement regarding the recent pending hires of seasoned commercial lenders. What's noteworthy is that these lenders have joined us from considerably larger institutions which lends credence to the perceived attractiveness and potential of our franchise and company. Hires will help further advance our success in our commercial position. Similarly, for just starting out commercial banking professionals, our former commercial banker development program has placed colleagues into credit analyst, portfolio manager and lender positions. We also continue to garner favorable third-party recognition by reputable sources. Recently Rockland Trust was ranked by J.D. Power as the highest in customer satisfaction with retail banking in New England. We're enormously proud of this and are so very appreciative of the hard work and dedication of all our Rockland colleagues. This is in conjunction with our very high Boston Globe Best Place to Work rating, our 100% Human Rights Campaign rating and our favorable Granite survey results relating to our small business and commercial customer engagement. We also have a number of initiatives underway designed to continuously better a customer experience and improve operational efficiencies. We've launched a completely redesigned rocklandtrust.com website that is much easier to navigate. To date, the average time spent on the site has increased 44% in the past year. We're also scrutinizing various line of business platforms to further streamline operations. On the retail side, our branch optimization effort remains in full swing whether it's relocations, transformations and plan to new opening. Pam Frey, our new Head of Retail and Business Bank, is providing great leadership to our efforts here. And we continue to refine our compliance and risk management efforts such as DFAST stress testing in line with our growing asset size well in advance of reaching the required threshold for such efforts. Turning to the macro environment. There is not much to add from our last call. The national economy has continued its modest growth path and is fairly resilient thus far despite the political chaos in Washington. The recent moves by the Fed to raise rates corroborates positive trends. We also remain somewhat encouraged by the growing consensus to provide regulatory relief to smaller banks, while the timing of such legislation remains elusive. The local economic environment continues to be mostly positive. Consumer and business spending continued to increase at a moderate pace. And although the state unemployment rate has ticked up a bit this year at 4.2%, it remains below the national average. Finally, the state Business Confidence Index was 61.8 in June, as reported by the Associated Industries of Massachusetts, remains among the highest levels since 2004. So I think in conclusion, it's fair to say that the state of Rockland Trust franchise is quite good. And we've all taken it for granted and will stay quite in our assumptions and approach and feel confident in our ability to sustain solid long term growth. Finally, I'd like to acknowledge the contributions of longtime director, Morris Sullivan, who has reached the mandatory retirement age last month. I benefited from Morris' advice and counsel and I wish he and his family the very best. Now I'll turn it over to Rob, our CFO.
Robert Cozzone: Thank you, Chris and good morning. As Chris just described, things came together especially well for us in the second quarter. GAAP net income of $20.6 million was relatively consistent with both the prior quarter and the same quarter of last year. Conversely though, operating net income which is adjusted for merger charges, at $22.4 million was up over 6% versus the first quarter and over 9% versus the prior year. In addition, operating earnings per share increased 5% over both prior periods to $0.82 in the second quarter. Strong earnings results translated into enhanced profitability. On an operating basis, second quarter return on assets, return on equity and return on tangible equity improved to 1.15%, 10% and 13.5%, respectively. These results are a byproduct of maintaining our focus on strategic and financial priorities, many of which are highly evident in second quarter results, namely consistently maintaining asset sensitivity, growing fee income businesses and realizing operating leverage. I'll discuss each of those further following in my balance sheet comments. Total assets grew to $8 billion as of June 30, primarily as a result of the Island Bancorp acquisition and continued steady loan growth. The Island acquisition which was closed and converted over the May 12 weekend, added $156 million in loans and $160 million in primarily core deposits. A complete schedule of the acquired assets and liabilities can be found in the press release. As Chris stated, customer response have been simply terrific and deposit retention has exceeded all expectations thus far. As anticipated, the transaction was neutral to tangible book value per share and earnings accretion expectations remain intact. Our strategic regulatory and operational acquisition expertise has become a core competency that reduces integration and financial risk. Consistent with expectations, total organic loan growth was almost 1% for the quarter. And when including the impact of acquisitions, loans were up 3.4% for the quarter and over 10% for the last 12 months. Our loan categories, with the exception of commercial construction, experienced organic growth during the quarter as very strong closing volumes offset relatively high payoffs. With the complement of new very experienced commercial lenders quickly building pipelines, loan growth is likely to accelerate through remainder of the year. We have hired 5 commercial bankers since the beginning of the year. And as of June 30, commercial loans approved for closing had increased to $155 million. In addition, consumer real estate portfolios continue to experience strong organic growth. Residential mortgage was up almost 5% annualized and home equity was up over 6% annualized. Healthy pipelines in both portfolios as of 6/30 bode well for Q3 financings. Organic deposit growth was also notable for the quarter, with demand deposits up 8% annualized and savings and interest checking categories up almost 14%. Core deposits now represent 91% of total deposits. And as a result, the cost of deposits was stable at 18 basis points in the second quarter despite rising short term rates. The composition of our deposit book is a reflection of our intense focus on relationships and recognition on the superior customer service experience we strive to provide. The benefit of our asset sensitivity is very evident in the results for the quarter. The net interest margin was up 9 basis points to 3.6% and all loan categories experienced an increased yield versus the first quarter. The net interest margin guidance we revised upward last quarter is likely still too conservative, given results to date and the most recent rate increase confirmed during June. Although we expect more deposit pricing sensitivity as a result of the June Fed funds increase, that impact should also be a fraction of the benefit realized on the asset side. In addition, we have $25 million of 3.99% home loan bank advances maturing in the third quarter which we will replace at a much lower effective rate. Although somewhat anticipated due to seasonality, total noninterest income increased by an impressive 13% compared to the first quarter. Included in the increase were strong interchange and ATM fees driven by continued growth in households and core checking accounts, a rebound in mortgage banking and loan-level swap activity, supported by a slight yield curve and higher investment management income related to seasonal tax prep fees along with strong growth in assets under administration. As Chris noted, assets under administration ended the quarter at $3.2 billion, a 13% increase versus June of 2016. And new business activity was robust during the quarter. Significant growth in other fee income category related to leasing activities, our 1031 exchange business and a gain on the sale of one of our facilities. And although some components of fee income remain difficult to predict, growth in these businesses remains a focus for us. Noninterest expense, including merger and acquisition charges, increased 3.3% when compared to the first quarter. Despite the half quarter impact of the Island acquisition, combined salaries and benefits, occupancy and equipment, data processing and FDIC assessment were essentially flat quarter-over quarter. The increase in other expense resulted from promotion of our J.D. Power recognition, consulting expense associated with efforts to improve the customer experience, loan workout cost and recruiting expense related to the new hires previously mentioned. Good expense control has further benefited the efficiency ratio which was 58.6% on an operating basis, a nice reflection of the operating leverage I referenced. Asset quality metrics remained solid; however, as a result of a bankruptcy filing, we have chosen to charge off a portion of the commercial relationship we previously reserved for during the fourth quarter of 2016. That same charge-off benefited nonperforming asset levels which were down to 68 basis points of total assets at June 30. The $1.1 million of provision this quarter was primarily needed to support growth. In terms of guidance for the remainder of the year, we expect the following. The addition of some seasoned lenders organic loan growth should accelerate to a mid- to upper single-digit pace. We expect deposit growth to be consistent with the second quarter growth. And as suggested, the net interest margin is expected to expand more than last guided and is now anticipated to be 15, 20 basis points higher than the full year of 2016. Year-over-year fee income is expected to increase at a low single-digit pace and noninterest expense will be closely managed and the core efficiency ratio should drop to the mid-50s for year-end. And finally, as previously stated, the tax rate for the remainder of the year is expected to approximate to 34% incurred in the second quarter. That concludes my comments. Chris?
Christopher Oddleifson: Thanks, Rob. Brendan, we're ready for Q&A.
Operator: [Operator Instructions]. The first question comes from Mark Fitzgibbon with Sandler O'Neill Partners.
Mark Fitzgibbon: We've seen a number of other banks your size that have recently announced plans to kind of move into your markets, so your core markets of Boston that's offshore. Are you seeing any impact from that yet on loan deposit pricing?
Christopher Oddleifson: No, nothing imminent yet, Mark, especially relative to the more recent entrants. As you could imagine, the Boston market has been extremely competitive with all of the large players that we have to compete against in addition to many smaller players trying to get a foothold. But our pricing held up nicely actually in the second quarter and we expect that to continue.
Mark Fitzgibbon: Okay. And then secondly, I wondered if you could update us, if I'm not mistaken, you guys were sort of systematically going through your branches and trying to upgrade and reduce the footprint size of those, improved technology, et cetera. How is that going? How many have you been able to convert and how many remain?
Christopher Oddleifson: Right. So we have about 85 branches right now, Mark. And our -- we -- it's been a continuous process over the really last 10, 15 years which on average are probably close, relocate sort of 1, 2, 3 branches a year. Currently, that pace over the last 3, 4 years has accelerated. During 2016, I think we had 4 branches that we closed. And in 2017, we have branch relocation from Burlington into a much better location where we're building a brand new branch in a new location. We have a de novo branch that we're kind of building in Newton. We have a branch in Hyannis where we're moving down the street to a much sort of bigger and more accessible building that will have not only a branch but all our other lines of businesses. And in terms of transformations, our most recent transformation, we moved from a traditional branch to a sort of a teller pod concept as Mashpee down in the Cape. So far we've transformed about 8 or 9 branches into this new concept. We -- this is sort of the story that's never going to end, Mark. I mean, we're going to be continuing asking ourselves, how -- what -- where do we trend, where do we add, where do we combine, the -- and sort of what is the priority of the new markets we wanted to now move in. So I expect -- you can expect over the next number of years that we'll continue that. And we're also sort of asking ourselves, what additional sort of branch technology do we want to introduce. In fact, there is a lot out there, as you've probably read and seen. We have to be careful and very judicious about what we can test, but we're on that path as well.
Mark Fitzgibbon: Okay. And then lastly on the margin, Rob, you had mentioned that the NIM guidance that you had given previously is too conservative. How are you thinking about the margin for the third quarter in terms of the magnitude of improvement?
Christopher Oddleifson: Well, my guidance for the full year was 15 to 20 basis points of expansion versus full year 2016 on the core margin. I would expect the margin to expand into the third quarter because of the June increase. I -- based upon I think we're all seeing out there, there likely won't be another increase, at least in Fed funds until the end of the year, probably December which means we would likely see the Q4 net interest margin be flat to slightly down versus Q3, because I expect more deposit pricing sensitivity to take some hold as these rate increases become evident to folks and has competition for deposits which is already happening to some extent, intensifies. So we have about $3 billion of assets that are tied to LIBOR or Fed funds or prime. And then we have about another $400 million in change that is indexed to kind of a 1-year home loan bank or 1-year LIBOR rate.
Operator: Our next question comes from Matthew Breese with Piper Jaffray.
Matthew Breese: I just wanted to make sure I had the core margin right this quarter. What was -- and I'm sorry if I missed it, what was the accretable yield in there?
Robert Cozzone: The accretable yield for the quarter was about $300,000. And that's been pretty consistent, Matt, over the last couple of quarters prior to that and was averaging about $400,000 a quarter.
Matthew Breese: Okay. And so the updated guidance from 16 to 17 to 15 to 20 basis points of expansion, that's off the core margin?
Robert Cozzone: That's off the core margin, but that will be pretty close on both core and absolute actually.
Matthew Breese: Okay. And then just going to your deposit competition commentary that perhaps could drive the margin actually down in 4Q, in what areas of your market is it most intense and in what product categories is it most intense?
Robert Cozzone: Yes. So pretty consistently what I have said the last couple of quarters is the government banking business has been very competitive. And so we've seen pricing go up on that portfolio to the tune of about 5 or 6 basis points. And that began early on really in the fourth quarter of last year. But our absolute cost of funds in that book of business is still fairly very attractive. Then we saw competition intensify and customers take notice in the larger commercial categories. All those customers that were maintaining some excess funds in their business checking accounts, they have been more sensitive to pricing and are seeing alternative pricing levels at other financial institutions. Just recently, we've started to see a little bit more sensitivity in the kind of broader base deposit products on the business and consumer side. So we have made some minor adjustments to a couple of product categories which we think will likely increase our cost of deposits in the third quarter by the tune of about 2 basis points.
Matthew Breese: Okay, very helpful. And then thinking about the Island Bancorp acquisition, just curious, could you remind us of what your outlook for cost saves was and how far along in the process of achieving those cost saves we're at this point?
Robert Cozzone: Yes. So in terms of achievement, they've all been achieved. And our cost save estimates which are typically conservative for us out of the gate, were around 35%. One thing that is slightly different with Edgartown this kind of early on, as Chris mentioned, is that we've been successful in recruiting some new business folks from other local institutions. So some of that expense, including a commercial banker and some wealth management folks, so that expense is not included in our original assumptions, but neither is the benefit on the revenue side.
Matthew Breese: Okay. And then lastly, each quarter, we march a little bit closer to the $10 billion threshold. And I just wanted to get a sense for how far along in the expense process you are. How much of the DFAST expenses are currently baked in? How much more do you think you have to go? And then could you just remind us of what the interchange risk is?
Robert Cozzone: Yes. So I'll take the latter first. As our interchange revenue grows, obviously, we have more at risk. So now we're kind of approaching the $7 million mark in terms of a modest interchange that is potentially at risk and that will likely continue to grow. But what we're doing as an aside here is aggressively looking at our credit card offerings to see -- first of all, we don't have a consumer credit card offering right now, but we intend to get one. And we're hopeful that we can migrate some of that debit card activity, not a substantial amount likely, but some of that debit card activity to credit card offering. In terms of the expense, we continue to incrementally add. For example, this quarter, we added a consumer risk specialist in our portfolio -- credit portfolio analytics group. That is a position that we probably wouldn't have added if we didn't think we were going to cross the $10 billion threshold. And we have been doing that for last couple of years now. So I wouldn't expect, as I've said in the past, to see a significant incremental increase in expense as we cross $10 billion. But we'd probably still have another $1 million to $2 million in annual spend that we'll be gradually incorporating as we approach $10 billion.
Matthew Breese: I was mentioning our progress in DFAST.
Robert Cozzone: Yes, we're making significant progress in preparing for a DFAST submission. Our hope is that before the end of the year that we're in a position to have kind of a test run.
Matthew Breese: So that gives some indication on the infrastructure we have already in place?
Christopher Oddleifson: Right, I mean, that sounds like if you're ready for test run, you're most of the way there.
Robert Cozzone: That's right.
Operator: Our next question comes from Laurie Hunsicker with Compass Point.
Laurie Hunsicker: Just a follow-up on Matt's question. So without acquisition, where do you think about the $10 billion cross being in terms of when you would actually run across that line?
Christopher Oddleifson: Well, if you think about our organic growth rate being in the 6% to 8% range, we probably are looking 2.5 years out. If you throw an acquisition in there, well, it could be a lot sooner.
Laurie Hunsicker: Okay. And I guess, just going back to margin here, I just want to make sure that I have this right. So with $300-or-so million of accretable income, that's roughly 2 basis points, so your core NIM is already at 3.58% versus you are at 3.38% for 2016. Again, that's core distrophing at accretion income. So you're already sitting at your very top of your upper guidance at potentially 20 basis points up?
Robert Cozzone: Well, that's this current quarter. We were lower than that last quarter. So if you average the 2, we would be lower than 20 basis points. And I expect to expand in the third quarter, but fourth quarter is a little bit difficult to predict because of potential for deposit pricing sensitivity. But I would not expect borrowing an additional Fed funds increase, a margin to expand further in the fourth quarter.
Laurie Hunsicker: Got it. Okay. That's helpful. Okay. And then just lastly, looking at your income statement, the other expense line of $13.2 million, is there anything nonrecurring in that?
Robert Cozzone: Well, we've mentioned the consulting fees associated with some projects and all those particular expenses will not be repeated. We will have likely additional consulting associated with other products as we continue to invest in strategic initiatives. But consulting as a whole I would expect to decline. Some of the recruitment expense and we have been very successful in recruiting some senior folks in the commercial banking side. We also just added our Head of Retail, Pam Frey, that Chris mentioned. So those are expenses I would not expect to continue at the same level. And then we have some other expenses which will decline into the third quarter, more operating type expenses. So as I said, we do expect the efficiency ratio to improve throughout the remainder of the year.
Laurie Hunsicker: Okay. And so then just to be clear, something like a signing bonus is falling into that other, other?
Robert Cozzone: That's right.
Laurie Hunsicker: Okay. And then as we think about the salary...
Robert Cozzone: Relocation expenses.
Laurie Hunsicker: And relocation, okay, got it. And so if you look at the salary and benefits line, because obviously, the hiring was in this quarter, how should we been thinking about that just as we head into next quarter with the fully baked run rate on the salaries and benefits line with your new hires?
Robert Cozzone: It will actually decline a little bit because of payroll taxes. But obviously, some of the hires will add that. So I don't have a detailed number that I'd like to provide you, but I would expect the whole thing, salaries and benefits combined, to decline for the remainder of the year.
Operator: [Operator Instructions]. Our next question comes from Collyn Gilbert with KBW.
Collyn Gilbert: Just a few housekeeping questions. Rob, what's the split between your -- of your deposits? How much is split between retail and commercial?
Robert Cozzone: The way we categorize business deposits which includes small business, we have about $2 billion in total business deposits and then $4 billion in total consumer deposits and then about $600 million in municipal deposits. And then we have some small other deposits like the 1031 exchange business.
Collyn Gilbert: Okay. Okay, right, that's helpful. And then on your fee outlook, maybe can you just talk in broader terms about what you're sort of seeing on -- within the derivative activity and then mortgage banking? I knew you gave specific fee guidance. But just trying to understand some of the trends that you're seeing in each of those businesses as you look out for the next 6 to 12 months or so.
Robert Cozzone: Yes. Certainly, so for low-level derivative income, it's a combination of our new business activity and then obviously customer demand for fixed rate. I would suggest that our fee income going forward will be more -- in that category will be more reflective of the absolute amount of loan closings that we do in a particular quarter. So in the second quarter, we had very high commercial closings, one of our highest quarters ever. And so the derivative income increased as a result. I would not say that we've seen any change in business customers' perspective regarding interest rates. And so it doesn't seem like the rate environment is influencing their decision to swap or not swap. It's just new business coming in the door that wants a 7- or 10-year fixed rate and they can get a better rate if they chose to swap. So that's derivative income. In terms of mortgage banking income, we have actually seen in the last few quarters a higher percentage of our production go into portfolio and therefore benefit our mortgage banking income line item. But you see that our growth in the residential book, our organic growth is more than it has been historically. There is significant demand, probably not surprisingly, in the Greater Boston market for jumbo product and jumbo product that there is not really an active competitive secondary market for. And based upon our pipelines, we expect that business to continue in the short term which means we're selling a little bit less production than we have historically, closer to probably 60% versus 75% or 80% in the past. Should that change, should there be a more competitive market for jumbo or should we see more conforming production, then I would expect, obviously, mortgage banking income to increase. But I think the number for the second quarter is a pretty good number going forward. We have built out our mortgage operation from an operational perspective quite nicely and we're getting very favorable customer feedback. And we have a nice complement of mortgage officers on staff right now.
Collyn Gilbert: Okay, that's helpful. And then what -- do you have the breakout on what would be considered retail-related CRE within your CRE book?
Robert Cozzone: Yes. We put a pie chart together for the Q which shows commercial buildings in total at 18%. And then we have hotels and motels at about 9%, strip malls at about 4%. So within that commercial building category, there is a portion of that which is retail related, the majority of which is non -- the vast, vast majority, non-big-box retailers. We have a pretty meaningful portfolio of stopping shop. I mean, a grocery store, sorry and it's -- and convenient stores, but not many other retail, certainly not big-box retailers.
Collyn Gilbert: Okay. Okay, that's helpful. And then, I guess, just one final question for -- no, actually another sort of detailed question. Rob, thoughts on the provision kind of going forward, it's jumped a little bit, just given some of the emergence of credits in the last two quarters. But how do you see that trending as you look out for the rest of the year?
Robert Cozzone: Yes, I mean, credit quality aside from that, one commercial credit that we've discussed the last couple of quarters has been exceptional. All the trends look favorable from, if you strip that one out again, from a delinquency nonperforming asset perspective. Everything is trending favorably. So we don't see anything on the horizon that would suggest anything other than maybe a periodic charge-off of any meaningful size. So we're feeling very good about credit quality.
Collyn Gilbert: Okay. Okay, that's helpful. And then finally, Chris, just if you could comment on what you're seeing out there in terms of M&A in the market and just sort of what your appetite is. And I mean, if -- I'm sure it probably hasn't changed, but maybe more of what the landscape looks like here in the last few months or so.
Christopher Oddleifson: Well, I can't talk about sort of detail, but I will say that there was a large enhancement in our marketplace that I'm sure we're having. We're always desirous to be at the table. Our currency is strong. And as in the past, I'll just emphasize that we're really sort of disciplined and focused probably on some of these things. I mean, the -- we need to be sort of thinking about the long term. In terms of the other sort of banks that may raise their hands, there not as many of these in the past, but there's certainly a number that I imagine that the trend is not going to come to a abrupt halt, but over time that some of these banks are going to raise their hand. They want to talk about a potential merger. And we're ready, willing and able to have that conversation. Our strategy for M&A is tightly focused, I mean, historically. I mean, we really believe in just being opportunistic, but also that we believe a major sort of economic center of New England is right here where we're, so emanating in a semicircle around Boston. And we'd like to sort of put our primary focus on that. Not that if there's an interesting bank that comes up a little bit further way, we wouldn't take a look at it or think about it. But we would -- I mean, ideally, we'd like to sort of continue our march which is fill on our market and move out in the directions of Northwest and -- or Southeast.
Operator: [Operator Instructions]. This concludes our question-and-answer session. I would like to turn the conference back over to Christopher Oddleifson for any closing remarks.
Christopher Oddleifson: Okay. Thank you, Brendan and thank you, everybody, for joining us. And we look forward to talking with you again in 3 months. Have a good rest of the summer. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.